Operator: Good morning, ladies and gentlemen. Welcome to Yellow Pages First Quarter 2025 Earnings Release Call. Today's conference call contains forward-looking information about Yellow Pages' outlook, objectives and strategy. These statements are based assumption and are subject to important risks and uncertainties. Yellow Pages' actual results could differ materially from expectations discussed. The details of Yellow Pages caution regarding forward looking information, including key assumptions and risks, can be found in Yellow Pages management discussion and analysis for the first quarter 2025. This call is being recorded and webcast and all of the disclosure documents are available on the Company's website and on SEDAR. I would now like to turn the meeting over to Mr. David Eckert, Chief Executive Officer. Please go ahead, sir.
David Eckert: Thank you very much. Good morning, everyone. Welcome to our first quarter 2025 Analyst Call. Really appreciate your continued interest. As usual, today I'm joined by Franco Sciannamblo, our Chief Financial Officer; and by Sherilyn King, our President. I'll begin with some overview comments, and Sherilyn will provide some comments and then Franco will provide a bit more detail for you. After that, we'd be happy to answer any questions that you might have at the end. This quarter, we're quite pleased with our results that we were reporting this morning. Particularly for the fifth consecutive quarter, this quarter, we again report a favorable what we call bending of the revenue curve as our rate of change in revenue was better than the change rate reported for the previous quarter. This is really, really important as we drive toward the ultimate strong stability. We also report solid quarterly earnings. Our adjusted EBITDA for the quarter was 23.4% of revenue, even with our still continued investments in revenue initiatives, including the steady continued expansion of our sales force. We also have strong cash balance. Despite certain regular seasonal normal disbursements during the quarter, cash still stood at approximately $49 million at the April. I will pass the microphone on to Sherilyn King now to provide some additional overview comments.
Sherilyn King: Thank you, David. We continue to be very pleased with our progress on our metrics underlying our revenue generation. Those include the size of our sales force, the continued deceleration of our customer count decline rate, fueled by our new customer acquisitions, our stable renewal rates and our strong average spend per customer. We continue to believe these fundamentals bode well for our medium- and long-term future. Also, our Board yesterday has declared a dividend of $0.25 per common share to be paid on June 16, 2025 to shareholders of record as of May 27, 2025. I will now pass it on to Franco to provide some additional details on our numbers.
Franco Sciannamblo: Thanks, SK, and good morning, everyone. Let me take you through our financial results for the first quarter ended March 31, 2025. Beginning with revenues, our total revenues decreased by $4.2 million or 7.6% year-over-year and amounted to $50.8 million for the first quarter, an improvement from the decrease of 8.1% reported last quarter. The year-over-year decrease in revenue is mainly attributable to the decline of our higher margin digital media and print products and to a lesser extent to our lower margin digital services products thereby creating some pressure on our gross profit margins. Digital revenues decreased 6.8% year-over-year and amounted to $40.7 million for the three-month period ended March 31, 2025, an improvement from the decrease of 7.2% reported last quarter. The year-over-year decline was mainly attributable to a decrease in digital customer count, partially offset by an increase in average spend per customer. For print revenues, it decreased 10.5% year-over-year and amounted to $10.1 million for the three-month period ended March 31, 2025, an improvement from the decrease of 11.5% reported last quarter. The decline in revenue was mainly attributable to the decrease in the number of print customers, while the spend per customer has improved year-over-year, driven by some price increases. The decline rate of revenues improved during the quarter ended March 31, 2025, compared to the same period last year. These improvements were mainly attributable to the deceleration of the customer account decline rate, fueled by an increase in new customer acquisitions, while renewal rates remained relatively stable and an increase in average spend per customer due in part to the price increases. Our adjusted EBITDA for the first quarter it was impacted by the pressures from lower revenue, change in product mix, continued investments in our telesales, forced capacity and the impact of the Company's share price on cash settled stock-based compensation expense, partially offset by price increases, the efficiencies from optimization in cost of sales and reductions in other operating costs, including reductions in our workforce and associated employee expenses. As a result, adjusted EBITDA decreased year-over-year by $3.4 million or 22.3% to $11.9 million for the first quarter. Adjusted EBITDA margin decreased to 23.4% compared to 27.8% for the same period last year. The revaluation of cash settled stock-based compensation liabilities resulted in a recovery of $1.3 million for the three-month period ended March 31, 2025, compared to a recovery of $1.9 million for the same period last year. Revenue pressures and continued investments in our telesales force capacity, partially offset by continued optimizations, will continue to cause some pressure on margins in upcoming quarters. On adjusted EBITDA less CapEx for the first quarter decreased by $2.9 million year-over-year to $11.4 million mainly due to the decrease in adjusted EBITDA, partially offset by the decrease in CapEx spend year over year. For net income, it decreased to $5 million for the first quarter of 2025 compared to $8.4 million for the same period last year due to lower adjusted EBITDA and the increase in restructuring and other charges, partially offset by decrease in income taxes for the three-month period ended March 31, 2025. On our workforce, as of March 31, 2025, it stood well, it decreased 570 employees compared to 630 at the same date last year, a decrease of 6.7%. The sales force headcount actually increased by 9, while all other headcount decreased by 50. And as David mentioned earlier, our cash on hand at the April stood at approximately $49 million. As to dividends, the Board has declared a cash dividend of $0.25 per common share, payable on June 16, 2025, to shareholders of record as of May 27, 2025. This concludes our formal remarks. Thank you for taking the time to join us this morning. We will now take your questions, and I'll pass it back over to our operator.
Operator:
David Eckert: Thank you very much for your continued interest. We appreciate your support and look forward to seeing you here next quarter. Thanks very much. Have a good day. Bye now.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.